Operator: Good afternoon. My name is Matthew, and I will be your conference operator today. At this time, I would like to welcome everyone to the Ultra Clean Technology First Quarter Financial Results Conference Call. [Operator Instructions] Joining us today is Mr. Casey Eichler, Chief Financial Officer; and Mr. Clarence Granger, Chairman and Chief Executive Officer. I will now turn the call over to Ms. Sheri Brumm, Vice President of Finance. Ma'am, you may begin.
Sheri Brumm: Thank you, operator. Welcome to our first quarter financial results conference call. Presenting today are Clarence Granger, Ultra Clean's Chairman and Chief Executive Officer; and Casey Eichler, Ultra Clean's Chief Financial Officer. We will begin by presenting the financial results for our first quarter, and Clarence will follow with some remarks about the business. A few moments ago, we issued a press release reporting financial results for the first quarter ended March 29, 2013. The press release can be accessed from the Investor Relations section of Ultra Clean's website, along with information for the tape delay and replay of the live webcast at uct.com. Together with our recently issued press release, this conference call enables the company to comply with the SEC regulations for fair disclosure. Therefore, investors should accept the contents of this call as the company's official guidance for the second quarter of fiscal 2013. Investors should note that only the CEO and CFO are authorized to provide company guidance. If at any time after this call we communicate any material changes in guidance, it is our intent that such updates will be done officially via public forum, such as a press release or publicly announced conference call. The matters that we discuss today include forward-looking statements as defined in the U.S. Private Securities Litigation Reform Act of 1995, related to matters including our future financial performance, new product orders and shipments and industry growth. Investors are cautioned that forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those projected in the forward-looking statements. Some of those risks and uncertainties are detailed in our filings with the Securities and Exchange Commission. The company disclaims any obligation to publicly update or revise any such forward-looking statements or to reflect events or circumstances that occur after this call. Now here is Casey to present the first quarter results.
Kevin C. Eichler: Thank you, Sheri. Revenue for the first quarter was $100.5 million or an increase of 12% from the prior quarter, and a decrease of 9% when compared to the same period a year ago. Semiconductor revenue for the first quarter was $85.6 million, an increase of 12%, and non-semiconductor revenue was $14.9 million, an increase of 9% when compared to the fourth quarter. Semiconductor revenue was 85% of total revenue for the quarter. Revenue outside of the U.S. was 21% in the quarter compared to 18% in the prior quarter. Four customers had revenue of over 10% for the quarter. Gas delivery systems represented 54% of our revenue for the quarter. Gross margin for the first quarter increased to 13.8% compared to 12.8% in the fourth quarter. Operating expenses were $13.2 million or an increase of approximately $240,000 from the prior quarter due to higher audit fees and less mandatory time off. Our operating expenses as a percentage of revenue will be in the 11% to 12% range in the second quarter but our long-term target remains 9%. We had operating income of $621,000 or 1% before interest expense and income taxes compared to an operating loss of 100 -- $1.4 million or 1.6% in the fourth quarter. Excluding M&A-related costs and amortization of intangibles, our operating income was $2.2 million or 2.2% in the first quarter. Interest expense for the quarter was $588,000, a decrease of approximately $128,000. An income tax benefit of $25,000 was recorded in the first quarter. The tax rate for the second quarter should be modeled at 24%. First quarter net loss was $311,000 or $0.01 per share. Excluding transaction costs and amortization expense related to the merger with AIT, first quarter net income was $1 million or $0.04 per share compared to $0.00 per share in the fourth quarter. The basic share count was $27.9 million, flat with the prior quarter. Noncash charges for the first quarter were $1.3 million related to FAS 123R, $800,000 related to depreciation and $1.5 million related to amortization of intangibles. Turning to the balance sheet. Cash was $64.9 million, an increase of $10.6 million from the prior quarter. We're very pleased that our cash balance is at an all-time high for UCT. Net cash increased $15.5 million during the period. We anticipate that cash will be relatively flat next quarter. Accounts receivable was $49.6 million, down $500,000 from Q4, and days sale outstanding decreased to 44 days from 50 days. Accounts payable of $34.6 million increased approximately $11.1 million quarter-over-quarter. Days payable outstanding at the end of the first quarter increased to 36 days from 27 days at the end of the fourth quarter. Net inventory was $51.2 million, a decrease of $2.8 million over the prior quarter. The reduction in inventory, as revenue increased 12%, reflects our continued focus on operational efficiency. Inventory levels are projected to stay flat or slightly decrease during the second quarter of 2013. Now Clarence will discuss our operating highlights for the first quarter. Clarence?
Clarence L. Granger: Thanks, Casey. I'm pleased that during our first quarter of 2013, we saw some recovery in the semiconductor capital equipment industry. Total revenue coming from semiconductor equipment sales increased greater than $9 million quarter-over-quarter. Yet, the percentage of our sales coming from this industry stayed fairly flat with Q4 2012, indicating growth in our other served markets as well. As Casey previously stated, our revenue for Q1 was $100.5 million, and our adjusted earnings per share was $0.04, excluding merger and amortization charges. On our previous earnings call, we had guided to Q1 revenue of $96 million to $101 million, and $0.02 to $0.06 adjusted earnings per share. Along with increased revenue, we were able to increase our margins a full percentage point from 12.8% in Q4 to 13.8% in Q1. Additionally, UCT's cash balance was at an all-time high. I'll now review highlights of our activities for the first quarter. One of UCT's key accomplishments for the quarter was related to cash. Our cash balances were at an all-time high for the company. We had a cash level of $64.9 million, while at the same time reducing our debt by nearly $5 million. We feel that this is a great accomplishment in light of the decline in demand seen over the last several quarters. One of the main reasons that we've been able to generate such cash level is that we're concentrated heavily on operational execution. Among other accomplishments, operations has increased our gross margins and reduced our inventory. Over the last 3 quarters, we have achieved inventory reductions of over $12 million, and we believe there are still opportunities for further reductions. We're very confident that as a result of our operational execution, we will continue to generate cash and reduce our debt. In Q1, 21% of our total revenue came from our Asian manufacturing operations, an increase from 18% of total revenue in Q4. As a result of the AIT acquisition, we increased our percentage of manufacturing within the U.S. While we expect the majority of manufacturing to remain U.S.-based during 2013, we expect to resume our trend of increased manufacturing presence in Asia. This is consistent with our customers' plans and will continue to have a favorable impact on UCT's margins and profitability. The first quarter continued to be a period of transition as we moved forward with the merger between AIT and UCT. Although we have been combined as one company for over 9 months, we're still in the early stages of implementing cost savings between the 2 entities. We completed several cost reductions shortly after the merger and have been reviewing the appropriate synergies between AIT and UCT over the last 3 quarters. We anticipate further savings during fiscal 2013, including synergies in both our operations and operating expense categories. We continue to be very excited about the new potential that the addition of AIT brings to UCT. In the area of new business development, during the first quarter, we completed the consolidation of the UCT and AIT business development teams into one team. Not only did we combine the 2 existing teams, but we also added additional UCT resources to the group. This will give us a much larger new business development team than we have ever had before. It will take several months to see the full benefits of this new team but we are confident that it will broaden our reach into targeted customers and markets. In addition, we are continuing current work on many new opportunities with existing and new customers. This quarter, we added 1 new smaller customer whose primary product is automated visual inspection equipment for the consumer electronics industry. This customer will generate approximately $2 million of revenue for UCT in Q2 2013. One of the business opportunities that UCT has identified is with relatively small customers who experience very steep swings in demand for their products. Customers like this have relatively strong demand for 1 to 2 quarters followed by almost no demand for some period of time, then followed by another strong ramp. For these companies, outsourcing is ideal and UCT, with its expertise and quickly ramping manufacturing, both domestically and in low-cost regions, is an ideal partner. We will continue to seek out companies like these in addition to our traditional larger customer partners. We're confident that with our newly combined business development team, we will be able to drive more business opportunities than ever before. I'd now like to shift to our guidance for the second quarter of 2013. We anticipate seeing a further recovery during the quarter within the semiconductor equipment space. Our revenue guidance for the second quarter is $106 million to $111 million. And our Q2 earnings guidance is for earnings per share to be in the range of $0.07 to $0.11, excluding amortization charges. As Casey discussed earlier, the tax rate for the first quarter should be modeled at 24%. In summary, during the first quarter of 2013, we began to see a recovery in overall business conditions. Our cash balances were at an all-time high while reducing debt by nearly $5 million. We also continued integration activities related to combining AIT into UCT. This integration is proceeding as planned and we continue to identify cost-savings opportunities. Our gross margins improved by a full percentage point quarter-on-quarter and our inventory levels continue to decline with increased operational focus. We are excited about the consolidation of our new business development team and are pleased that our new business pipeline continues to be strong and growing. In closing, we remain confident that 2013 will be a year of growth and further margin improvement as we continue to manage our business. With that, operator, we would now like to open the call for questions.
Operator: [Operator Instructions] And your first question comes from the line of Edwin Mok.
Edwin Mok - Needham & Company, LLC, Research Division: So I have a few questions. First one is for the quarter, .not only in semis you guys saw a rebound, but even on non-semi area. Can you give us more color which end market or what is driving that? Is that new win -- the new wins that you guys talked about that was driving the growth, or is it end market? Anything will be helpful.
Clarence L. Granger: Yes, Edwin, this is Clarence. Ironically, we've actually started to see a little bit of a pickup again in the flat panel market, so I would say that's probably the area outside -- medical continues to be a good market for us but we're starting to see a little bit of a rebound in the flat panel market.
Edwin Mok - Needham & Company, LLC, Research Division: And then what about the other wins that you guys talked about, like the robotic business that you talked about last quarter? Are those starting to contribute to the top line as well?
Clarence L. Granger: Yes, we're starting to get some of that business. I said we would be ramped on the robotic side. That is semiconductor business, so that is part of the growth in semiconductor. But we are still shipping in relatively low volumes. We anticipate reaching what I had said is around $2 million a quarter, and $8 million to $10 million a year run rate on that new robotics business. And we expect that to start to kick in towards the end of Q3 and fully kicked in in Q4. We also think there's some further growth opportunities within that market.
Edwin Mok - Needham & Company, LLC, Research Division: I see. That's very helpful. And then on this new consumer electronic win, when you say automations, I assume you'd return to manufacturing on consumer electronics product and some automation equipment related to that. Am I correct in that?
Clarence L. Granger: That is correct, yes. It's an automated inspection system. And we're manufacturing it for them in Asia.
Edwin Mok - Needham & Company, LLC, Research Division: I see. So business could be a little bit lumpy. I see. And it sounds like business could be a little lumpy for that business. But $2 million is actually a pretty good size business for a quarter. I was wondering, any way you can kind of quantify, I mean, is this something that you think you can see a lot more those type of customer come in, is it something that you expect to get [indiscernible] one customer at a quarter? How do you guys think about that?
Clarence L. Granger: Yes, I do. I mean -- Edwin, again, this is Clarence. So the way we feel about that, so we think this is kind of an untapped market. I mean, obviously, our primary focus is going to be to continue to be on our large customers and potential large opportunity, business opportunities, but we also see a fairly significant segment of relatively small companies that are selling typically manufacturing equipment of some kind into a market where they get big demands for tools. And then once that demand is satisfied, they have a lull period and then it picks up again maybe 6 months later. And so we've identified at least 2 or 3 customers that are now -- that we're now supporting and we think there might be quite a few more out there, might be smaller companies, might be startup companies. But we think that's kind of an untapped market and we think we can do well at that.
Edwin Mok - Needham & Company, LLC, Research Division: In those business, do you expect to have a similar kind of margin structure as your current business?
Clarence L. Granger: I would say at least as good as our current margin structure. Maybe a little better because there's more complexity.
Kevin C. Eichler: But generally, yes.
Edwin Mok - Needham & Company, LLC, Research Division: I see. Very helpful. And then, I guess, last question and I'll go away. So on kind of your guidance, if I take what you said, Casey, which is OpEx remain at this 11% to 12% range, which is what you did in the first quarter, and I take kind of your top line guidance, still implies, actually still pretty meaningful gross margin improvement in the coming quarter, right? So I'm just curious, is that all just volume or is it more work that you guys are doing in the gross margin front to drive that improvement and how do you kind of think about that also in terms of further improvement? Is it all just going to be driven by volume or is that other stuff that you're guys doing to improve that?
Kevin C. Eichler: Yes. I think the natural drivers, as you mentioned, are volume and also mix between low-cost region and the U.S. Those are kind of the natural drivers from quarter-to-quarter, but there is also continued margin improvement activities going on that we think will continue to nick away and drop more through. So those are the biggest drivers of that.
Operator: And your next question comes from the line of Iyer Jagadish.
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: Clarence, Casey, 2 questions. First, on your semi business, as you look out for the remainder of the year, how should we be thinking about your semi business? I know you have very little visibility sometimes, but as you see that evolving, any granularity in terms of the first half or the second half? And then I have a follow-up, please.
Clarence L. Granger: Sure, Jagadish, this is Clarence. I would say, at this point in time, it remains pretty cloudy about what's going to go on in the second half in the semiconductor side. I don't see any huge swings one way or the other, but we're getting conflicting information from analysts and customers, so right now, I would say it probably looks pretty flat, maybe slightly up or down but not significantly either way. That's only into the third quarter, I have 0 visibility into the fourth quarter. And was there another part of the question?
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: Yes. So how do you kind of plan out your operations for the remainder of this year? Do you still have kind of shutdowns and other things that you have planned out, just to manage your expenses?
Clarence L. Granger: Yes. Again, we are not planning any shutdowns in the second quarter. So based on the increased volumes, we think we can achieve these performance metrics that we've outlined without any shutdowns. So it's really going to depend on what happens and business condition swings. The other thing that we're primarily focused on right now is combining UCT and AIT successfully and efficiently in Q1. Obviously, we took some big steps by combining our new business development team and refocusing our overall sales force to get the team better focused on the future and consolidate it and coordinate it and we think that will do a lot of good for us. So we still think -- our primary focus at this point in time on terms of business activity and business opportunity is still focused on the consolidation and combination of UCT and AIT. I think there's lots of things that we can continue to do here that will make us a more efficient and profitable company as we fully digest combining the 2 businesses.
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: Fair enough. Just a question for Casey, just wanted to -- Casey, did you call out what was your cash flow from operations in the quarter, please?
Kevin C. Eichler: Well, again, I called out the noncash items that contribute to that. So it was this FAS 123R calculation, so do you want me to walk right back through that?
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: No, no. I just want the number on that one.
Kevin C. Eichler: It was $1.3 million.
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: Okay. And as you start to pile up more cash, is the strategy going to be just to pay off those long-term debt or are you going to keep some dry powder for any acquisitions?
Kevin C. Eichler: Yes. So certainly, paying down the debt is important but we also want to have the flexibility to take advantage of opportunities as we would see them. And so we do want to have some powder, as you say, for that type of opportunity and also make sure that we have the appropriate level of operating cash. But certainly, we've been paying the debt down and we'll continue to pay the debt down and that's an important thing as well.
Clarence L. Granger: We wouldn't walk away from a really good opportunity. On the other hand, we still have a fair amount to digest in combining the 2 companies, so unless something extraordinary came along, I think our near-term primary focus is to successfully combine the 2 companies. And then longer-term, we have had success with acquisitions and we do believe in that strategically. So at some point in time, we would expect to do that again.
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: Okay. Casey, what kind of cash levels would you be comfortable kind of maintaining some level of threshold?
Kevin C. Eichler: Well, certainly, again, we run this business with net cash balances around $10 million or $11 million. And so it doesn't take a huge amount of cash to run the business but I think to have the cash and the operating flexibility to take advantage of opportunities, I think you'd want to try to have a net cash position probably closer to $20 million to $30 million.
Operator: And your next question comes from the line of Dick Ryan.
Richard A. Ryan - Dougherty & Company LLC, Research Division: Say, Clarence, on AIT, you talked about that cost savings and the efficiencies you're starting to see there. How about top line. Any success getting any cross-selling opportunities going?
Clarence L. Granger: We do anticipate that those kinds of things will happen. One of the things that we've talked about or some of the things that we talked about are the strengths of AIT has been their complete vertical integration and making complete turnkey tools, their ability to make sheet metal and frame assemblies, their ability to do control panels. So we think there's some opportunities there. And on the UCT side, we have an international presence and they had a relatively limited international presence. So it wouldn't surprise us at some point in the near future to see something that might combine some of the strengths of both of those companies. But we're not in a position to discuss anything right now.
Richard A. Ryan - Dougherty & Company LLC, Research Division: Okay. On the automated inspection customer, was there any contribution in Q1 from them or did this start just with Q2?
Clarence L. Granger: No contribution in Q1. It will all be in Q2.
Richard A. Ryan - Dougherty & Company LLC, Research Division: Okay. And is that kind of a high or low watermark, if you can kind of...
Clarence L. Granger: I think that's kind of their run rate. I don't -- when they get orders, they seem to be in that kind of magnitude. So I think we'll see a -- what I was implying is I think we'll see a roughly $2 million quarter in Q2, maybe slightly higher than that and then probably 1 or 2 quarters with nothing and then probably another $2 million pop as they secure another customer.
Richard A. Ryan - Dougherty & Company LLC, Research Division: Okay. In your comments about the semi recovery, what are the tone of the conversations across customers? Is it pretty solid across customers or is there some spotting as that can give you some -- you talked about the cloudiness in Q3, but [indiscernible] of those comments?
Clarence L. Granger: Yes, I think, most -- a lot of what we're seeing is rumors about end-users and what they're doing and what they're planning and are they going to scale back or increase their commitments. And so I would say from our customers, it seems to be fairly consistent and relatively flat. It's really hard for me to -- and then we hear all these anecdotal inputs from analysts and various other sources that we really can't tell how factual-based they are.
Richard A. Ryan - Dougherty & Company LLC, Research Division: Okay. And LED, obviously, a small contributor...
Clarence L. Granger: LED continues to be a very small contributor. On our side, at least, we have not seen an increase of any significance in that.
Richard A. Ryan - Dougherty & Company LLC, Research Division: Okay. So that's still less than $1 million?
Clarence L. Granger: Yes, on that order. That order of magnitude, roughly 1% of sales.
Operator: [Operator Instructions] And there are no further audio questions at this time.
Kevin C. Eichler: Great. Well, I appreciate it. Thanks, everybody, for joining. And we look forward to talking with all of you over the course of the quarter.
Clarence L. Granger: Thanks a lot. Bye.
Operator: This does conclude today's teleconference. You may now disconnect.